Operator: Good morning, and welcome to the ValueVision Media's Fiscal 2014 Third Quarter Conference Call. Following today's presentation, there will be a question-and-answer session. Today's call is being recorded for instant replay. I would now like to turn the call over to Teresa Dery, Senior Vice President and General Counsel.
Teresa Dery: Thank you, operator. I'm joined today by CEO, Mark Bozek, CFO, Bill McGrath and President, Bob Ayd. Comments on today's conference call may contain certain forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. Such statements may be identified by words such as anticipate, believe, estimate, expect, intend, predict, hope, should, plan, or similar expressions. Listeners are cautioned that these forward-looking statements may involve risks and uncertainties that could significantly affect actual results from those expressed in any such statements. More detailed information about these risks and uncertainties and related cautionary statements is contained in ValueVision's SEC filings. Comments on today's call may refer to adjusted EBITDA and adjusted net income or loss, which are both non-GAAP financial measures. For reconciliations of each of these measures to our GAAP results and for a description of why we use them, please refer to today’s news release available on the Investor Relations section of our Web-site. I’d like to remind you that all information in this conference call is as of today and the Company undertakes no obligation to update these statements. I will now turn the call over to Mark.
Mark Bozek: Thank you very much. Thank you, Teresa, and thank you for joining today’s call. We reported solid Q3 results including 7% increase in net sales and a 33% rise in adjusted EBITDA. I am pleased with our team’s execution and we are all very excited about the holiday season. To build on this momentum, we strongly believe definitive change and innovation are necessary to take our company to the next level. What become clear since I joined the company in June is that neither the dedicated team I worked with here nor the investment community including existing and potential investors are interested in us merely broadening our product mix, essentially broadening our product assortment will not unlock our company’s real value. As I said in August and I still believe if we use our size to our advantage enabling our think nimble and act nimble approach then we will grow shareholder value. As important for a step in the company’s long term strategy to become a true and far more competitive digital commerce player we’re excited to unveil our new corporate and consumer brand identity. Effective today, we changed our company’s name from ValueVision Media to EVINE Live. This will be followed by the changing of our NASDAQ trading symbol to EVLV on Thursday November 20th. We will also be presenting at the Goldman Sachs conference in New York on Thursday. While the change of our corporate name occurs today and the change in the trading symbol occurs this Thursday, our plan is to take the next several months to transition our consumer brand from ShopHQ to EVINE Live. The complete rebranding is planned to take place during the first half of 2015. Today’s announcement begins an entirely new chapter in our company’s history. It is not just changing the cover on the book. Our all things digital commerce platforms and our compelling new relevant and identity should provide a solid foundation upon which to build the diverse portfolio of new exciting proprietary brands. By combining these proprietary brands with our broad reach across all our digital platforms including our 87 million television homes, we intent to deliver on our goal of long term sustained growth. And, most importantly, we have every intention of taking our existing customers, our vendors and key stakeholders on this one new adventure with us. Our message to the vendor community of providing and engaging exciting launch pad for new proprietary brand has been widely embraced. I can assure you that the quality and quantity of brand and talent in discussion with us here in Minnesota as well as in New York, Los Angeles and elsewhere, are quite impressive. Our merchant and programmers have an energy and enthusiasm like never before. Bill will provide some further details about the EVINE transaction in a moment. But I’d first like to underscore how excited I am about all this. There are several hundred of my colleagues here in Minnesota as well as in Bowling Green who are listening and who will have to help execute this new strategy. But I can assure you they’re cheering right now and ready to deliver. With this rebranding, we’ve jump started all the things we intent to do as opposed to starting from square one with a much-much longer ramp. So here let’s a look for in the short-term, in the coming weeks and months we’ll be making a series of announcement to introduce some exciting new brands in the relevant product categories where we’re currently playing. And for rest few other categories as well and then and they’ll be more. Even though we’re in the early stages of transition we’re committed to doing the work today that we believe will most assuredly more EVINE Live forward in the long term. Finally, I’d like to acknowledge the hardwork and dedication of our teams here who over the past quarter worked long hours to bring EVINE Live to life in such expeditious necessary manner. I’d also like to announce that Russell Nuce has joined the company as our Chief Strategy Officer reporting to me. Russell has been a longtime colleague of mine who is experienced in strategy, licensing, corporate law and entertainment, will help provide the architecture for all that comes next. With that I will turn it over to Bill for some additional financial details for second line stage announcements and then we’ll take some questions. Bill?
Bill McGrath: Thanks Mark. As Mark mentioned, we announced today that the company acquired certain assets of Dollars Per Minute, including EVINE brand. As consideration for the asset purchased we issued unregistered shares of our common stock to the holders of convertible notes issued by Dollars Per Minute. These shares represented an aggregate value of $1.44 million which equates to around 179,000 shares. As for our Q3 performance, we had very solid results in the quarter. Third quarter sales of $157 million were up 7% over prior year. Sales growth was driven by strong results in fashion and accessories as well as the beauty health and fitness categories. Net shipped units in the quarter increased 28% versus last year as our average selling price declined to $67 from $80, principally influenced by the strong performance in our fashion and beauty category. Fashion represented 18% of our merchandize mix compared to 12% last year. The broadening of product assortment at lower average selling price continued to foster growth and our customer base. Our rolling 12 months customer count at 1.4 million is up 16% over the comparable prior year. Gross profit dollars increased 7% to 59 million and our gross margin percentage of 37.6% is in line with last year. Third quarter operating expenses totaled $59 million compared to 56 million last year. Current quarter operating expenses included 2.4 million in executive transition costs. Excluding this unusual item operating expenses increased $2 million or 4% compared with the same quarter last year. Operating expenses were affected by an increase in variable cost of $2 million, variable cost as a percentage of sales were 8.9% versus 8.1% last year reflecting the impact of the 28% increase in net shipped units. We anticipate the Q4 variable expenses as a percentage of sales will be around 9%. Adjusted EBITDA increased to $4.8 million versus $3.6 million in Q3 last year reflecting the 7% increase in gross profit, partially offset by the higher operating expenses I just described. We ended the quarter with cash and restricted cash of $26 million compared to $23 million at the end of Q2. During the third quarter, we incurred about $4 million in capital expenditures related to the 337,000 square foot expansion of our Bowling Green distribution center. These expenditures were funded by a drawdown from our PNC credit facility. We’ll have partial use of the expansion for storage during the fourth quarter and we expect to complete the internal configuration during Q2 2015. Aggregate cost of the expansion will be around $25 million, of which we expect around 18 million will incur in 2014 and the balance in the first half of fiscal 2015. Finally I’d like to add CFO for the last four years, I have not seen such strong enthusiasm from both inside the company as well as from many of the investors that Mark and I have met over the past few months. With that operator let’s open the line to questions.
Operator: (Operator Instructions). Your first question comes from the line of Alex Fuhrman with Craig-Hallum Capital. Please proceed.
Alex Fuhrman-Craig-Hallum: My question is, I am wondering with your customer file up 16% here in the last 12 months, obviously you have been very successful getting more people into the platform. How do you balance the opportunity to really accelerate that new customer growth now that you’re going to be rebranding to a new platform and a new brand against the rest of losing some of your existing customers. Do you expect there to be a little bit of natural churn there in the customer file over first next year or so. And then more specifically as you look at the holiday season, how do you -- how should we think about the messaging that you’re going to put out there over the next six weeks?
Mark Bozek: This is Mark. I think that what makes this exciting in terms of the opportunity if this growth that we had this year in new customers is we’re lucky enough that we have a lot of contact points with our customers via television, via email, via Facebook, via the tablets and via mobile devices. And so our way of communicating with them I think is an advantage that most don’t have. So we’re pretty comfortable and that these new customers that are coming in as well as the core customers that have been with us for a while that they’ll be really excited about it. I think in all the situations as long as you are crisp and clear in terms of how you communicate with them, then it doesn’t become a confusing situation, it becomes one where they’re excited about it and do that by showing them the new things that we’re going to be doing and these new brands that we’re launching that are very much going to be in the sweet spot that appeal to not only our core customer but to the new customer as well. As it relates to Q4 our focus on Q4 is really all about Q4 as it is for most retailers these days, and there won’t be a whole lot between now and the end of the year that EVINE Live related, as it relates to specific contacts with the customer, there’ll be a few announcements that we’ll be making in the coming weeks, referring to some specific brands that we’ll be launching under the EVINE Live presents banner but for the most part the evolution of this process will begin after the first year.
Operator: Your next question comes from the line of kayla Berg with Piper Jaffray. Please proceed.
kayla Berg-Piper Jaffray: My first question is actually about Russell, I am just wondering if you guys could share any color on what his top priorities and projects will as he onboard into the company. And then the second question, would just love some perspective maybe from Bill on how we should think about Q4 in terms of gross margin in ASP and any thoughts you have there?
Mark Bozek: So I think in terms of Russell’s role in on-boarding him into the company I think that in all the definition of what we hope to do as it relates to EVINE Live, I think having somebody who is looking at the strategic new initiatives that we’re looking to do rather than necessary of being into with of our Dollars Per Minute world which as man of you know we live in breadth by business model that’s all about Dollars Per Minute. So we sell very strong is having someone who will be part of this process that could look ahead without necessary having to worry about the day-to-day operations of it and looking ahead means and that’s why I think it's a big advantage for us if we execute on it by having relationships and strategic partnerships not only the brands and personality, but other meeting networks as well. And so I think this focus is going to be primarily based on that.
Bill McGrath:  And Kayla, regarding the outlook for Q4 for gross margin specifically, you recall that in the fourth quarter of last year we had a very, very strong contribution from consumer electronic and particularly android tablets within the consumer electronics category and so other beings little bit of headwind because consumer electronics we don’t anticipate or going to represent as much of our product mix in Q4 of this year as it did a year ago, so while that creates an element of sales that we expect to watch that within other categories, gift oriented categories in the business I will say that the margin considerations when you look at the strength of consumer electronics last year it is a category which we have lower margins. And so looking year-on-year, we’d expect our margins to be slightly favorable to our performance a year ago and that not really depends on the -- I’ll say the level of promotional activities that exist in the retail market and how we match that.
Operator:  Your next question comes from the line of Tom Forte with Brean Capital. Please proceed.
Tom Forte-Brean Capital : Great. Thanks for taking my question, that’s a lot quick the transition rebranding. The question I had was on a near-term basis, how should we think about things like average selling price, unit ship and returns as far as your mix currently are we pass the point where we should continue to expect year-over-year declines and have it selling prices or refinements to the mix going to continue to push that down over the near-term? Thanks.
Bill McGrath :  Thanks, Tom. I say that we are pass the point and maybe this is the transition quarter for us in terms of significant changes in average selling price year-on-year as we look at the fourth quarter of last year, I think our average selling prices was in the range of about $75 and will be at a comparable range as to where we’re running now, I say somewhere between $65 and $75 is a run rate that we’d expect going forward. So the delta that you’ve seen in the past several quarters between the revenue growth and the shipment growth which has been substantial in the current quarter revenues up 7%, unit shipped up 28% that begins to level off going forward. And again that will be a function of -- there will be some movement within that bandwidth of $65 to $75. So it depending on the product mix that’s strong for us within the quarter, then I do expect that that again that range to be our run rate in the next several quarters.
Mark Bozek: And Tom, this is Mark just to add to that if I can, I think what’s exciting about a lot of these new categories that we are going to be playing in is that not only are they in that sweet spot in that average selling price but they are also big high new name generating category that we’re going to be playing in, so it relates to the returns and our returns are heavily focused on the core competency product that we sell with particularly in watches and jewelry. So as we expand our base particularly in the area of home which is a high new name generating category, we see these as real opportunities for us and it relates to our return rate and that average selling price being in the sweet spot right now that we’re really comfortable with it. And with some of these new launches that we know historically have the new name generating we feel really confident that, that breadth and depth will help us process.
Operator:  The next question comes from the line of Mark Argento with Lake Street Capital Markets. Please proceed.
Mark Argento-Lake Street Capital Markets: Hi Mark, hi Bill. Mark could you give us your kind of background on EVINE and kind of the vision that you had when you originally created the brand and how that might translate over to obviously to the ValueVision platform?
Mark Bozek: Yes, sure Mark, I think early on when we start working on EVINE, just as EVINE.com the notion that could you create something in an online space that the time with online space only that delivered exclusive merchandise that you couldn’t find anywhere else that it wasn’t just based on Calvin Klein at 75% which I thought that was such a prevalence of one company after another offering flash sales kind of businesses, but not one that was sticking that you can attract customers new and old customers, in this case of course all new customers that would be there and go there way more often than just when they are in mood to shop and that was really the premise of what it was at the beginning and could you create these forms of shopping center entertainment that may have sticky and made this sort of habitual way to go add it. So I think that the drawback as it is for many in the ecommerce space that you only -- if you only have one single form of distribution in online only that all the money that you have and all the money that you invest goes into attracting and or buying those customers and as many in that space so, it's a very very tough road to haul and so separate and aside from that as this opportunity came up in the discussions of about ValueVision it was really only until after I got into the company where we’ve recognized that in order to accelerate and jump start the process or what I thought was needed most here was in addition to the need for proprietary brand that EVINE scenario really enabled us to accelerate this process and it’s kind of setting a new tone if you will I think that setting on a new tone in this new perception rather than us just trying to be a competitive distant fair play shopping channel is really-really important. So, that’s kind of where it sort of start at the beginning and it was really only until I was here when you saw what the issues were pro and con by the way. And as many you know how I sort of came into the company. The really good news is that the company was operation wise was really on the rail that enables me and Bill to go out into the marketplace and talk about the future and what the future might be rather than me putting the fire hat on as a new CEO without any due diligence because of the way that I came into it, it enabled this focus and enabled a real clear understanding early on of what the needs are and just simply fixing the product mix so the distant third play shopping channel is really not much of a strategy at all. I think that this enables us to accelerate the process that otherwise would have taking us we feel much longer.
Mark Argento-Lake Street Capital Markets : Got it. And then just transition over you had mentioned in your prepared remarks that look for some new products new brands and some new proprietary brands. You talked little bit about the areas that you’re most excited in terms of the opportunity for EVINE to build some [re-chats] for the products?
Mark Bozek: Sure thanks. I think the categories are particularly in the areas of home and home for us is food, cookware, ingestible vitamins, weight loss, home organization, that’s the areas of home and in the areas of fashion there is some really exciting ones as it relates to fashion that I think that our customers will respond really well to. I think that also in the area of beauty that we have a couple now in beauty but also in skincare. And again these are as you know these are high new name generating categories and also with very low return rates and they become very sticky kinds of customers. And so it’s really again they’re not new categories in the space but they are in many cases new categories for us that I think help our existing brands and our existing vendors who as you well know we have relied on and perhaps relied on far too much over the past couple of years. They will welcome this and have already reached out and are welcoming this opportunity to be side by side a far broader mix.
Mark Argento-Lake Street Capital Markets : Last question from me, in terms of other branded products, currently branded products. I know obviously the process to go out and work with brand expressions of the top brands it takes quite a while. Do you anticipate we’ll be able to start seeing some new brand on the platform in the first half of ’15 or is that a second half ’15? How do you think about bringing new brands up into the platform?
Mark Bozek: I’d really love to it’s some in the first half and some in the second half. What the beauty of some of those relationships that we had with EVINE with people for example like Greg Renker who is one of the great direct response individuals in the history of direct response. He is now is our happy shareholder and also very happy product maker for us. And so, those kinds of relationships with people who know how to do this business that we’re most excited about and that enables us to again accelerate what would have been a process that had started from scratch. So in terms of known brands Mark I think the idea of known brands and at least in our mind is that it’s beginning these kinds of relationships with known brands that you could create this hallo effect by this redefining of ourselves at EVINE Live so that you can attract known brands once that’s creating exclusive merchandise for us not selling something that they would sell elsewhere because I don’t believe for a second that selling similar merchandise is available elsewhere that we can or should compete on price. But I think that if this perception scenario move forward as we most definitely think it will that it will enable us to enter into these conversations and negotiations and ultimately relationships with top brand that might not have happened has this not otherwise happened.
Operator: Your next question comes from the line of Greg McKinley with Dougherty. Please proceed.
Greg McKinley-Dougherty: Thank you. I wonder if you could talk a little bit more about EVINE and maybe from I guess two different perspective; number one, what is it about the brand name perhaps that as you are considering the name change what attributes of that name did you think were particularly compelling or would be value added long term and why did that make the right strategic fit for the company? And then relating to the assets acquired from it, what are your biggest opportunities or risks with those?
Mark Bozek: Thanks Greg. I think that in terms of the name itself EVINE I think we were extremely mindful as was the Board extremely mindful of being ensured that we’ve added the name both EVINE and the name EVINE. So we did over the past couple of months focused groups both in New York and here in Minneapolis and the response to the brand concept and the branding system that we tested was extremely well received and some of the comments went to most of them and listen to the others with that with the notion taking home shopping and moving up a notch finally and having that sort of aliveness and I was very specific and I believe this that the notion putting the word live in our name is not just about live television, but it's live mobility, live on the tablets, live on Facebook, live on all the social ways that we connect, I think these -- that our industry had become very un-alive. I think the notion injecting life and live back into the way we communicate and the way we connect with our customers not just necessary with the TV but through all the other platforms is a real opportunity as far as the ease in EVINE we see them as book ending, book ending all things that relate to ecommerce, all things that relate to the entertaining aspect of ecommerce and all things that sort of come in between that and I think that’s the definition of more that you’ll see kind of as we go, but we watch us on television and you watch our direct competitors on television and we all pretty much look the same. Yes, I sure would love to be broadcasting in HD right now and soon we’re going to do that. But I think that there is more to just making nice better sense and doing things that are perhaps clearer than have been done in the past and I think this is a much bigger place and you're going to see that both on television and our other platforms where it shows there is a real definite difference. So, we feel again just sort of coming up with the name and just because it was there was not something that we just kind of slammed on rubber stamped into the process and the secondarily I think that mindful that we just change the name as what was internally referred to as the dress rehearsal a year and a half ago that we found these focus groups there was actually zero to no brand equity in the name shop HQ and/or ShopNBC so it’s with that in mind that we had the confidence that we were on to something really good, of course you have to execute on it, but we think it's assess a real fun, colorable, live or life kind of tone to it and one that I think our customers current and future will respond really well to.
Bill McGrath :  And Greg relative to the asset acquisition, if the primary asset that was acquired was the trademark and the brand name, however, additionally within the transaction the consideration it was provided to the prior investors EVINE a $1.44 million worth of shares, the 179,000 shares that were issued. Also enabled us to take advantage of the relationships that market describes of the ground work of discussions with suppliers, with personalities other sources of product and creative elements that we think are key to this transition of the business. the acquisition of the assets of EVINE enable us to pursue those in a positive manner and again our perspective on that is that these are elements that will help us accelerate the development took proprietary brands for our business. In a greater manner then we would have been able to do absent this acquisition.
Mark Bozek :  And I would add Bill that, but I would add that the risk to doing nothing were far greater than the risk then what we’ve done in this deal, I think that just again saying that we’re going to come out and we’re going to change the mix of products as I said earlier to amount of strategy and so I think the acceleration of that and having those kind of relationships and as you will soon hear and see they are really good ones and ones that that we’re really excited about and we think once our customers and new customers will respond well to.
Bill McGrath :  And Greg the means of monitoring and managing that risk it is we are giving ourselves several months of transition through this process and as market describe we’ll be phasing in brands and elements of the EVINE presentation and in each of those there is an evaluation of the success factors and of the challenges that may have manifest. And so this will be an iterative process, we’ll learn from each launch, will iterate that, will move forward consistently but will bundle that in such a way as to mitigate that we think the risk that maybe there with the brand change.
Bill McGrath :  And one last comment about that and I think it relates to retail as in general I mean but for any retailer have been living under a rock have learned from the past couple of years of certain retailers who try to do things overnight and quickly and very rather noisy, loud and dramatic ways than we all know sort of how those turned out. And so with mind full of the evolutionary process, but evolution does mean move, it does mean go ahead, it does not mean do it tomorrow, but over the right period of time and again we have a huge advantage to bring our customer along to wait and communicate whether 24 hours a day and him, seven days a week in a ways that nobody else can, so that’s why we feel confident as we do and also with confident in the timing of which we have done this which is nearly four months into are being here.
Greg McKinley-Dougherty :  Great. Thank you for that color and then I guess another area I wanted to better understand if we just dive into some of your -- one of your operational metrics more deeply here and that is purchase frequency. So customer purchase frequency has been growing at a quite healthy clip I think it was up roughly 16% year-over-year here in the third quarter and so was the number of active customers I think that was up 11% or so. Is there anything you can tell us about frequency trends in your sort of established base of customers versus the newer customers coming into this system? Just maybe give us a sense for how much lag is the frequency growth has in front of it? Are those newer customers tending to be higher purchase or how should we expect that to play out?
Bill McGrath: This is Bill, the purchase frequency that you see at any given period is influenced by product mix and with the strong performance in the fashion category and the beauty categories year to date we’re garnering growth really from the categories which have a natural replenishment or repurchase activity. And that’s very, very positive to us, because through the extent that our customers are able to develop an affinity with the brands that we’re offering in both fashion and in the beauty category, that bodes well for ongoing replenishments. I’ll contrast that to periods in the tail end of last year where we had a high volume of first time customers coming in on the consumer electronics category that tends to be much more of a one and done or perhaps a two and done customer relationship partially due to the fact that you are appealing to more of a male audience. And then also partially due to the fact that our existing product mix other than moving into the watch category really didn’t offer as much diversity. So in terms of the going forward expectations for purchase frequency obviously our desire is to have that continue to improve, because it is a reflection of customer affinity in terms of the overall experience. I think as we move in to classification such as food, such as ingestible, vitamins as broadening the fashion mix and adding additional beauty and skincare all of those lend themselves to high purchase frequency. Mark had also mentioned our desire to -- our expectations as well to get into the cookware business in a much more robust way than we’ve been in the past. And there too I know from my spirits in the space those are categories that tend to create affinity with the brand that did well. So improving -- continuing to improve purchase frequency really is a foundation element of our growth going forward.
Mark Bozek: This is Mark. I also think Bill that the notion of second purchases and 20 purchases a year a lot of that has to do with this depth and breadth. I mean we talked about the Mark Cuban Show when he came here in August, turned out it was the most watched show in the history of this company and that’s without doing very little promotion at all as it was early on when we arrived here. And it just shows you that these kinds of brand and we refer to them here as these brands with fans that come with a pretty baked in fan base that if you do it right and it enables you to light up the line in a way that helps you grow your business and not just necessary introducing a brand but enables to promote it in other ways that are not necessary to adjust on your channel. And we don’t generally look at viewership because we don’t make money from viewership but we look at them as kind of leading indicators that if in fact those kinds of shows and that was a really great show and it’s going to be a lot more like that. That those kind of shows of what makes this second and third purchase kind of thing work because you’re coming back and you’re seeing a lot more variety than you were currently seeing right now. And I think that if you deliver on that like the AMC channel, right. They just had a bunch of black and while movies and Mad Men and they had Breaking Bad and they had Walking Dead and they started to create a robust reason to go back to that channel every day, there is very much of a parallel in what we’re doing here as well.
Greg McKinley-Dougherty : And then I guess last thing, your balance sheet inventories surprised me a little bit in terms of they were higher than I was expecting. Has the company positioned itself a little more aggressively with some buys heading into the holiday season there or anything of note that you’d comment on?
Mark Bozek: Q3 ending inventory is typically, obviously it’s a build period as we get into the busy selling season in advance to the holidays. So you have a cyclical component in terms of inventory uptick as a result of that. Another influence in current inventory position is the fact that fashion having being such a strong component of our mix is a category that turns more slowly than our other classifications of goods. So that’s an effect as well, but I think the last element I had mentioned that in the prior year consumer electronics were very, very strong category of our overall business and we’re expecting less of that in Q4 of this year. And much of our consumer electronics business last year was drop shipped. So was an inventory model. So we’ve got that influence that’s built into the current balance sheet growth as well.
Operator: Your next question comes from the line of Mark Smith with Feltl. Please proceed.
Mark Smith-Feltl: First of do you have the sales by category numbers handy?
Bill McGrath: Mark this is Bill, we’ve got looking at the total revenues of 157 million in the quarter, jewelry and watches are about 57 million, home and consumer electronics combined about 40 million, beauty health and fitness 21 million, fashion 25 million and then all other which is primarily shipping and handling revenue of about 14 million.
Mark Smith-Feltl: And then the mobile mix in online, can you talk about where that was?
Mark Bozek: The online percentage was basically in line with last year that’s about 43.5%. Mobile as a percentage of our Internet sales however continues to rise with about 34% of mobile penetration within the Internet mix versus about 26% a year ago.
Mark Smith-Feltl : And then we didn’t see any growth in homes this quarter had been picking on a quarter-to-quarter here for the last couple of years. This 87 million to 88 million is this where we’re tapped out for now or will we see any changes in total homes?
Mark Bozek: No, I think the growth rates in the household footprint Mark is probably going to remain in that range of 1% to 2% over the next several quarters. The thing that might that and create a little bit of a spike in that within a period maybe if we’ve elected over a broader footprint to pursue a change in channel position such that that puts us on a different band of service within a particular system. We’re at 87 million homes compares to a total universe if I use QBC as a target for that of around 98 million homes. So we’ll make some gradual inroads into this. But I think it will be in fact gradual in that range of 1% to 2% on an annualized run rate.
Mark Smith-Feltl : And then lastly could you talk about kind of the price per home that you paid during the quarter and kind of did you still expect that kind of creep up I think like about 15 or so?
Mark Bozek: Yes, within the current quarter Mark our average cost per home is about $13 for distribution that’s up over last year’s where we were running at about $7. In the fourth quarter of last year we had and in the earliest part of this year made some improvements to our channel positions and other qualitative effects that accounted for that delta from last year’s run rate of $1.06 to $1.13 this year. And in the fourth quarter we’ve made a few changes. We could end the quarter at around $1.15 per home on an annualized rate.
Operator: Your next question comes from the line of Justin Ruiss with Sidoti & Company. Please proceed.
Justin Ruiss-Sidoti: I just had a question when it came to now with the new brand EVINE when it came to the product category mix. Should we see a significant change in broadcasting patterns when it comes to time allocated per product vertical?
Mark Bozek: This is Mark. Justin I think that yes, we absolutely will. I think that the product verticals in terms of how we allocate them airtime on our networks as well as on our mobile platform and digital, other digital platforms, I think we’ll certain evolve again as really all of that variety. And in those categories particularly in the areas of home and beauty you’re going to see a lot more variety. If you watch us we sell a lot of Waterford [ph] and we sell lot of linens and we sell lot of watches. And you know what we love our linens and our watches and our Waterford. But having them having a much broader assortment before and after them is really what you’re going to be seeing more of as we head into 2015 because I think that that variety in and of itself is what’s desperately needed to create a stickiness that perhaps doesn’t or perhaps allows us to keep customers longer who are otherwise not inclined to watch us because we’re selling a lot of the same stuff all the time.
Operator: There are no further questions in queue. I’ll now turn the call over to Mr. Mark Bozek for closing remarks.
Mark Bozek: Well, I just like to thank everybody for being on this call. I am four months into process incredibly excited by these moves that we’ve taken today. I am very grateful for our Board they’ve been incredibly diligent and responsible through this entire process. And I’ve applaud all those efforts as well as the support that they’ve given me with all that’s happened today and they’re opening towards for us on many different levels. When you do these kinds of changes you don’t do them in a vacuum we do them with a lot of thought and a lot of help from some really smart people and boy are there some really smart people that work in this company. So, I and we are very excited about all that comes next. And we look forward to communicating that to you over the coming months. Thank you very much.
Operator: Ladies and gentlemen that concludes today’s conference. Thank you for your participation. You may now disconnect. Have a great day.